Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Supremex' Third Quarter 2023 Earnings Conference Call. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would now like to remind everyone that this conference call is being recorded on Thursday, November 9, 2023. I will now turn the call over to Martin [ph] of MBC Capital Markets Advisors.
Unidentified Company Representative: Thank you, operator. Good morning, ladies and gentlemen. Thank you for joining this discussion of Supremex' financial and operating results for the third quarter ended September 30, 2023. The press release reporting these results was published earlier this morning. It can also be found in the Investors section of the company's website at www.supremex.com, along with the MD&A and financial statements. These documents will be available on SEDAR+ as well. Note that a presentation supporting this conference call has also been posted on the website. Let me remind you that all figures expressed on today's call are in Canadian dollars, unless otherwise stated. Presenting today will be Stewart Emerson, President and CEO of Supremex, as well as Francois Bolduc, Chief Financial Officer. With that, I invite you to turn to Slide 39 of the presentation for an overview of the third quarter and I turn the call over to Stewart. Stewart?
Stewart Emerson: Thank you, Martin and good morning, everyone. During the third quarter, we have experienced improved demand, but at a slower pace than initially anticipated. While disappointed, we adapted to the evolving market conditions by building finished goods inventory to maintain utilization and absorption rates as effectively as possible and close the quarter in a finished goods inventory position which will allow us to take advantage of custom one-off opportunities as the market continues to reopen. Despite the increase in finished goods by aggressively working through raw material inventories built during a time of tight supply, we finished the quarter with total inventory values down 14% from year-end 2022. As a result, we generated a strong free cash flow that we applied to debt reduction and share repurchases. Francois will provide additional details in a few minutes, but let me take a moment to discuss our market dynamics. The Envelope business continues to be affected by customer inventory destocking, although we feel the worst of that is behind us and more predominantly by the effects of inflation on fundraising and direct mail and the impact of high interest rates on credit card solicitation mail. That said, conditions are improving and we can point to Royal Envelope's Q3 performance as empirical evidence. Sequentially, Royal Envelope, whose primary market is in direct mail, had a stronger Q3 with revenue of $11.1 million, up from $9.1 million in Q2. While it's clear the market conditions are improving and the mail continues to be an important vehicle for fundraisers and direct mailers, demand recovery is taking more time than expected and backlogs are soft throughout the envelope market. Our brand remains excellent and our position is still strong as a go-to consistent, predictable and reliable supplier. We have maintained solid relationships with our core customers through these temporary challenges and continue to make inroads with new customers. This period we are in is temporary. Mail and particularly direct mail is an important communication vehicle and has proven itself to be resilient through multiple macroeconomic slowdowns over the years. While volumes have a direct correlation on earnings for me, in the Envelope, the story of the quarter and frankly, for the year, is our ability to manage through the challenges on the EBITDA and cash flow generation side. Coming off a record Q3 2022 and volumes being down approximately 18%, we generated segment EBITDA in excess of 19% by working closely with customers having a compelling value proposition and managing costs tightly. It's been bumpy on the volume side for the past couple of quarters, particularly when compared to an astonishing 2022, but conditions have and continue to improve. We just have to have patience as we weather the storm. There's been 1 constant with Supremex. We have time and time again, proven the strength and resilience of our Envelope business. As a result of a sound proactive strategy and a lot of spade work, we have grown our share in the U.S. market for the last several years, before and through the pandemic and have positioned ourselves for long-term success in terms of both earnings and cash flow. Turning to the Packaging and Specialty Products segment. Much like the Envelope business and for the same reasons, we continue to experience lower demand from markets that are driven by discretionary spending. Volumes in our over-the-counter pharma packaging business continued to perform well and our food packaging volumes remain stable. However, demand in the health and beauty and e-commerce packaging verticals have been adversely impacted by a reduction of disposable income. The volume reductions put pressure on utilization levels and cost absorption and that shows in our numbers. On the positive side and while there's still work to do, for the most part, we have largely emerged from the various inefficiencies that affected our Lachine facility following its location change in late 2022 and early 2023. Not that everything is where we'd like it to be, but it had no material effect on Q3 operating results and was capable of producing significantly more had the sales been there. The Packaging business is steadfastly committed to enhancing efficiency and achieving the synergies from acquisitions completed earlier this year. To it, the Graf-Pak consolidation was executed on time and on budget within 90 days of acquisition and we announced last month the closure and production transfer from our Saint-Hyacinthe facility to our existing plants in the Montreal area which we expect to generate savings of $1.5 million when fully implemented. With these consolidations, we will leverage the scale and expertise of the existing facilities and they will be better positioned to efficiently support the inevitable bounce back in volumes and organic growth. In the quarter, we also revamped our packaging management structure moving to a more traditional entrepreneurial structure of 3 general managers responsible for respectively, the folding carton, e-commerce and commercial printing activities, they will report directly to me. Our belief is that a more focused and accountable local leadership will drive additional value in each sector and improve proximity and intimacy with the businesses and its customers and employees. With that, I'll turn the call over to Francois for a review of the Q3 financial results.
Francois Bolduc: Thank you, Stewart. Good morning, everyone. Please turn to Slide 40. The total revenues increased 2.8% to $69.8 million from $67.9 million last year. Revenues from the Envelope segment was $49.3 million versus $49.1 million last year. The contribution from Royal Envelope totaled $11.1 million and revenue was also driven by an average selling price increase of 22.1% due to more favorable customer and product mix in the U.S. operations as well as pricing adjustments made in the 2022 to mitigate cost inflation. Conversely, volume decreased 17.8%, a result of lower industry demand. In the Packaging and Specialty Products segment, revenue reached $20.5 million, up $9.1 million from $18.8 million last year. This increase reflects a $6.8 million contribution from Paragraph, higher e-commerce-related sales and the integration of the Graf-Pak operations in our Lachine facility. They were particularly offset -- these were particularly offset already by the wind down of the Durabox operations in late 2022 and reduced demand from certain markets more closely correlated to economic conditions. Moving on to Slide 41. Adjusted EBITDA totaled $11.7 million compared to $15.5 million a year ago. As a percentage of revenue, the adjusted EBITDA margin was 16.8%, down from 22.8% last year. The Envelope segment adjusted EBITDA reached $9.5 million compared to $13.5 million last year. The decrease mainly reflects the effect of lower volume impacting the absorption of fixed costs. As a percentage of revenue, the adjusted EBITDA margin was 19.3% compared to 27.4% last year. On a sequential basis, it was relatively stable from 19.6% in the second quarter of this year. In the Packaging and Specialty Products segment, adjusted EBITDA was $1.7 million versus $3.8 million last year. The decrease is mainly due to demand from sectors more closely correlated to the economy which impacts our fixed cost absorption. Adjusted EBITDA margin was 8.4% compared to 20.4% and for the same period in 2022. Sequentially, the margin was 100 basis points higher than in Q2 of 2023. Corporate and unallocated recovery amount to $500,000 in the third quarter of 2023 as opposed to a cost of $1.8 million last year. The recovery reflects a favorable adjustment to stock-based remuneration expenses and lower provisions for performance-based remuneration. Turning to Slide 42. Net earnings reached $5 million or $0.19 per share versus $8.1 million or $0.31 per share last year. Adjusted net earnings amounted to $4 million or $0.16 per share in Q3 2023 versus $8.5 million or $0.32 per share a year ago. In calculating adjusted net earnings, we excluded retroactive COVID-related subsidies received during the quarter. Moving on to cash flow on Slide 43. Our net cash flow from operating activity totaled $11.5 million in Q3 of 2023 compared to $4.5 million last year. As efficient working capital management released $1.4 million in cash this year as opposed to requiring $7.3 million last year. For this reason and reflecting net disposals of property, plant and equipment, free cash flow reached $11.6 million or $0.45 per share, up from $4 million or $0.16 per share a year ago. In the quarter, we used our cash flow for net long-term debt repayments in excess of $9 million. We also returned an aggregate amount of $1.4 million to shareholders through dividend payments and the repurchase of more than 102,000 common shares. We have continued to repurchase shares after the end of the quarter for proceeds of nearly $200,000. Looking at our financial position on Slide 44, total debt was reduced to $69.2 million as of the end of September 2023 from $78.2 million as of the end of June 30, reflecting the aforementioned debt repayment. Net debt which excludes deferred financing costs and cash stood at $68.1 million. As a result, our net debt to trailing 12-month adjusted EBITDA ratio was 1.2x as at the end of September versus 1.3x 3 months ago. At the end of the quarter, we had $52 million in available liquidity under our senior secured revolving credit facility leaving us sufficient flexibility to finance our operations and investments. Finally, the Board of Directors declared a quarterly dividend of $0.035 per share payable on December 22 to shareholders of record at the close of business on December 7. I now turn the call back to Stewart for the outlook. Stewart?
Stewart Emerson: Thanks, Francois. Although the pace of market recovery has been much slower than anticipated, the business has adapted very well. Like with the incredible market highs of 2022, we have little control on market conditions when they turn but our team has done a solid job managing what they can influence. We have managed costs tightly in the face of weak demand to deliver more historical EBITDA percentages in the Envelope business. The Packaging business has worked steadfastly to improve operations resulting from the move but could -- but just could not overcome the absorption in efficiencies in the quarter. We have consolidated 2 packaging facilities in the past 2 quarters per our M&A hypothesis and anticipate seeing the benefits quickly. We have unlocked cash by reducing raw material inventory built up through the tight supply chain of 2022 and early 2023 and paid down approximately $9 million in debt in the quarter and there is still more to come. At this point, it's all about units and sales. And that is the 1 area where we all remain frustrated. That said, we have to remain pragmatic. Just 3 or 4 quarters ago, we and our competitors and suppliers across the economy were enjoying an extended COVID bump and tight supply chains that created opportunities for volume which led to inflation and the eventual increase in interest rates which are now affecting us negatively. To go from high demand and utilization levels and within a quarter or 2 to low, significantly and temporarily reduced demand for us and our competitors and expect that the sales organization could backfill the decline is just not reasonable. Sales and volume are critical to success, but the process to open doors and nurture relationships that lead to organic growth takes time and requires patience. We continue to methodically build the business for the long term and to execute our strategy of leveraging our know-how, capacity and cash flow in Envelope to fund the pivot into packaging. In Envelope, with solid positions in the bills and statements and direct mail markets, we are firmly rooted as the second largest manufacturer in North America yet with a U.S. market share in single-digits. We have a solid customer base, a broad product offering and importantly, strong teams on which we can rely to further grow the business. In Packaging, the Graf-Pak activities were successfully integrated over the summer. And with the optimization initiatives announced last month, the packaging business has reduced costs significantly while maintaining its capabilities and capacity. We're confident these measures will make us a more efficient organization with a rightsized asset base and a management structure better suited to our market approach. Yes, volumes have been challenged over the last 2 quarters in our markets and in markets across the economic spectrum. Our situation is not unique and it's important to understand the demand reduction is largely temporary in nature. The fundamentals of Supremex have not changed. We continue to build the business methodically for diversification, growth and cash flow. We manage the business tightly and systematically add talent to support the ambition. Our objective of a 50-50 balance between Envelope and Packaging by the end of 2025 is unchanged but we will not grow revenue just for the sake of it. We manage to a mantra of top line is vanity, but bottom line is sanity. In closing, to reiterate, the fundamentals of our 2 businesses remain sound and we stand on solid ground in both of them. Although current market conditions are improving, they have not rebounded as fast as anticipated which will also hamper our fourth quarter to a certain degree. That said, we're building the business for the long haul. We will continue our commitment and efforts to improve our cost structure, drive organic growth and acquire prudently. Finally, I want to thank our teams for their focus and dedication with sticking with the plan and optimizing the business. This concludes our prepared remarks. We will now be pleased to answer questions you may have.
Operator: [Operator Instructions] Our first question comes from Matthew Lee from Canaccord Genuity.
Matthew Lee: So we just feel that the Packaging business was a bit more challenged than expected. Can you maybe just talk about any conversations you're having with customers on the outlook for Q4 and maybe into 2024?
Stewart Emerson: Sure, Matt. Thank you. I mean -- we're all -- they're all waiting for some level of economic stability and some inflation to come down. It's really about the disposable income. We're seeing volumes from large consumer packaged goods companies. Forecast being a little bit stronger than the last couple of quarters. But not back to 2022 levels at this point.
Matthew Lee: Okay. And then maybe talk about the ability to continue to scale down cost in both segments if demand kind of continues to be on the softer end. I know you kind of called out fixed costs in the Packaging segment. But I mean, could you theoretically bring down costs further to protect kind of cash flow and EBITDA in both sectors?
Stewart Emerson: Yes, we have some contingencies on -- certainly on the Envelope side, where we have a lot more facilities and we haven't done as much of the consolidation as possible. But our objective there is to get out and drive organic growth to keep utilization levels high so that we don't have to further impact facilities and things like that. And there's lots of rooms in the U.S. market, volumes are down sort of temporarily, it's growing inorganically to keep the utilization levels high. Packaging side, it's really about -- it's more about flexing labor, cost are coming down on paper, using our balance sheet to buy paper from offshore, where necessary to reduce the cost. But there's not a tremendous number of levers to pull on Packaging side at this point. We've done the two [ph] what we've got.
Matthew Lee: Okay, that's helpful. And then maybe just in terms of M&A, I mean, if the entire industry is down on both sides, are assets loosening up? Are there possibilities to acquire something maybe at a slightly discounted multiple?
Stewart Emerson: Certainly would be in the Envelope space but that's not our focus. Packaging, it's largely -- our targets on the M&A side are largely on our operators and I don't think there's been no indication that they're willing to sort of fire sale their businesses to a temporary decline. They're weathering storms just like everybody else and I don't think there's any change in valuations whatsoever. The only thing affecting valuations is more interest rates than it is sort of economic conditions.
Operator: And our next question comes from Ahmad Shaath from Beacon Securities.
Ahmad Shaath: Just a follow-up on the margin potential for the Packaging. Did I assume that correctly? Is that the best we can hope for on adjusted EBITDA margin for this year on the segment or should we expect improvement because I think your prepared remarks mentioned something that we're just starting to reap the benefits of that. So I'm trying to put the two together.
Stewart Emerson: Ahmad, sure. So yes, there's no, I guess, we'll start with an empathetic no that we're not topped out on margins on the Packaging side. We're still in strong belief that overall, the packaging margin should be closer to 20% and in the Envelope space. Whether we get there in Q4 is unlikely given that the demand, but we've got a lot of levers to pull. So talk about the efficiencies -- our inefficiencies in the -- from the move are largely behind us. So there's margin expansion directly related to a more efficient plant. We've tucked in the Graf-Pak business in early Q3, so we're going to continue to get those. We had the closure of the facility in Saint-Hyacinthe, in just last month, beginning of this month which in our press release, we said we should get $1.5 million in efficiencies there. So and then just the absorption rate as the market bounces back these facilities that we have remaining can produce a voracious appetite for volume. So as the market bounce back higher absorption rate will also lead the margin expansion. It will be a progressive increase in the -- we think the 9 number that we posted this month is the bottom and it's only upward from there.
Ahmad Shaath: That's great. So I guess [indiscernible] get out from a different angle. So if we didn't have any of the inefficiencies and the market demand environment just kind of as it is, what would have been adjusted EBITDA margin for the segment this quarter? How many points slipped would that be like low single-digit or mid-single-digit?
Stewart Emerson: No idea and didn't do the calculation.
Ahmad Shaath: Fair enough. Fair enough. Anyway, I appreciate the color regardless. And then on the subsidy, the 1.4, was that a tailwind for gross margin? And would that be to the Envelope more or the Packaging more? Or how should I think about that?
Francois Bolduc: Yes. So Ahmad, this is Francois. So the 1.4 which is not the -- impacting the adjusted EBITDA is mainly related to the Envelope business, U.S., but it's not in the numbers.
Ahmad Shaath: So it wasn't tailwind to the gross margin at least or the EBITDA margins for two segments right?
Francois Bolduc: No, no, exactly. So it's not included in the segmented results. So that way doesn't give you a bite -- and Ahmad maybe 1 more thing is that when you look at Q2 versus Q3 for Packaging, you'll see that despite no volume we're still in the -- Q3, we're still at the tail end of the integration, but you started to see some improvement in margins over there. So that's going to continue. We expect this to continue in Q4.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Stewart Emerson for any closing remarks.
Stewart Emerson: Great. Thanks very much, guys, for taking some time with us this morning. And we really appreciate it and we look forward to speaking to you again in our next quarterly call and enjoy the holiday season. Bye-bye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.